Operator: Thank you for standing by. This is the conference operator. Welcome to the Avino Silver & Gold Mines Second Quarter 2014 Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) At this time, I would like to turn the conference over to Charles Daley, Corporate Communications. Please go ahead.
Charles Daley: Thank you, Operator. Good morning, everyone, and welcome to Avino Silver & Gold Mines Limited second quarter 2014 financial results conference call. On the call today, we have the company’s President and CEO, Mr. David Wolfin; as well as our Chief Financial Officer, Mr. Malcolm Davidson; and one of our Directors, Mr. Jasman Yee. Before we get started, I’m required to remind you that certain statements on this call will include forward-looking information within the meaning of applicable securities laws. These may include statements regarding Avino’s anticipated performance in 2014 and future years, including revenue and cost forecast, silver and gold production, [periods] and recoveries, and the timing of expenditures required to develop new mines in mineralized zones. The company does not intend to, and does not assume any obligation to update such forward-looking statements or information other than as required by securities law. Thank you. With that, I’ll now turn the call over to Avino’s President and CEO, Mr. David Wolfin.
David Wolfin: Thanks, Charles, and welcome everybody. I would like to thank you all for joining us here today. During this call, I will cover the highlights of yesterday’s new release and our financial and operating performance for the second quarter 2014, compared to the same time last year. I will then open up the call to questions-and-answers session to address any questions you may have. I am pleased to report that Avino has delivered another solid quarter of financial and operational results. The second quarter revenue and mine operating income were strong and consistent with the comparable quarter last year. Although, average realized metal prices were lower this quarter, our production and recoveries were up while we continued to control costs and operating expenses. The Avino mine expansion is moving ahead on time and on budget, and we are looking forward to adding its results to our current operations. Our earnings for the quarter before income taxes were $441,000, compared to $1.5 million in the comparable quarter. Overall, loss for the quarter after taxes was $87,000, compared to a profit of $1.4 million in Q2 last year resulting in nil earnings per share basic and diluted. Current income tax expense during the quarter totaled $808,000, compared to nil in the comparable quarter last year. This increase was a result of us using up all our available tax loss carry-forwards in Mexico and a result of Mexico’s new mining tax regime. Our current tax expense is a sign of continued -- continuing profitable operations in Mexico, and we recognized the contributions or taxes made towards being good corporate citizens in the communities in which we operate. The company continues to work outside -- with outside consultants to help implement new tax planning strategies to ensure our overall tax liability is reasonable to our circumstances. Our realized silver price decreased by 26% from $26.63 to $19.59 per ounce sold and our realized gold price decreased by 16% from [$1,523] to $1,283 per ounce sold respectively between the second quarter of this year and second quarter last year. Our consolidated cash cost decreased by 10% year-on-year to $8.67 per ounce of silver equivalent payable, and our consolidated all-in sustaining cash costs were $12.02 compared to $12.80 last year. Cash costs at San Gonzalo were $8.42 per silver equivalent ounce payable, while each payable ounce produced from Avino stockpile operations costs $9.93, a decrease of 27%. Our cash and cash equivalents increased by 254% from December 31, 2013 to $13,600,000. The increase is primarily due to two financings in the first quarter which amounted to $11 million. Now on to operations. I’m pleased to report that we delivered another solid quarter of production. Thanks to the hard work of our team in Mexico. Silver production increased by 27% to 223,000 ounces. Gold production was up 47% to 1,157 ounces. Silver equivalent was up 32% to 296,000 ounces. At quarter end, we had 66 and 97 dry metric tonnes of concentrate in inventory from the San Gonzalo and stockpile operations respectively. The increase in production was primarily due to improved grades and recoveries at both operations. Our consolidated average silver equivalent feed grade was 292 grams per tonne, an increase of 15% over the comparable quarter. Now moving on to our outlook for the remainder of 2014. We do not expect any interruptions in our current operations, and we will be bringing the Avino Mine online in Q4. This should mean significantly higher output for the year in [seven] years. So our focus going forward is to maintain profitable mining operation while we manage operating costs and improving efficiencies, advance the Avino Mine into production and increase the mill output from 500 tonnes per day to 1,500 tonnes per day in Q4 this year. Also we’re going to proceed with the acquisition of Bralorne to integrate Bralorne’s operations into Avino’s corporate structure. Also we are going to continue -- we're planning to do a region-wide exploration program next year, and the company will use its own drills. We had Long year 44 for surface drill and an underground drill. And then another item, significant item is to build a new tailings facility. Once we do that, then we can look at moving the oxide tailings resource from previous milling operations forward according to the PEA and this will add another 1.4 million ounces of silver equipment to our production when it comes online. That’s all for now. Thank you everybody. I’ll open it up now for questions.
Operator: Thank you. (Operator Instructions) First question is from Phil Dodge of Noble Financial. Please go ahead.
Phil Dodge - Noble Financial: Yes. Hello David. Thanks for the comments. I wanted to -- I want to ask you if I saw correctly, the gold ratio was higher in the mix in the June quarter. And I’m wondering if you expect that to continue or whether there was some temporary factor there?
David Wolfin: Well…
Jasman Yee: Do you want me to take this question, David?
David Wolfin: Okay, sure.
Jasman Yee: Yeah, Phil, I can answer that question. Going forward, what we see is the gold grade will continue to run about the same as what we’re currently running. We see this possibly for the next 6 to 8 months or close to a year based on the level of material we’re getting from level 5 and from level 6. After that, it’s -- we need more work like [FAs] to define what’s in the lower levels like level 7 and to the east of level 4, 5, and 6. Does that answer your question, Phil?
Phil Dodge - Noble Financial: Yes, sir. And just, one other question, I know the tax situation is complicated and you’re studying it, but can you give any guidance over the near term on what percent -- I guess, it was more of the pre-tax income in the June quarter, so would you expect that to continue or will it be a change?
Malcolm Davidson: Hey Phil, it’s Malcolm here. We have utilized all of our last -- sorry, non-capital loss carry forwards in Mexico, so it just put us into a taxable position. As far as the income tax rates, we expect it to be consistent going forward. But we’re looking at a number of tax planning arrangements and strategies to help -- to keep our tax expense and related liability in line.
Phil Dodge - Noble Financial: Okay. Thanks a lot.
David Wolfin: Thank you.
Operator: (Operator Instructions) The next question is from [Martin Tripp] (ph), a Private Investor. Please go ahead.
Unidentified Analyst: Yes. I’m curious about how the exploration drilling is coming and some of your chip samples along the mine were pretty high, if I’ve got it right, how does that work?
Jasman Yee: As we have -- it’s Jasman Yee here. As we’re mining, we’re taking some of the wall rock as well in our mining method, and because the wealth like you say, the chip samples from wall rock also run. So basically, what we’re doing is we’re taking that material as well. So the feed that we get to the mill is sort of a diluted grade, rather than the grade that you would get from the drill hole assays and the channel samples.
Unidentified Analyst: But they are pretty good. I see.
Jasman Yee: Yeah.
David Wolfin: Yeah, absolutely.
Unidentified Analyst: Okay. So I just was making sure I had it right. Thank you.
David Wolfin: And Jasman, do you want to mention about the new zone, just give a little brief summary?
Jasman Yee: Yeah. From over the last visit about two to three weeks ago, there is a new zone to the east of the present workings, and this is a zone that was found through drifting on the vein. This is the section of the vein that didn’t run for a while and as we continued to the east, we started to hit mineralized sections. The material we’ve been sampling along the level 5 and we’re basically continuing on level 5, and what we’ve noticed at the end of the workings on level 5, we notice that the vein has split. There is a splay which is just as wide as the existing vein. So, this to me is fairly good. So we will be drifting on both veins on the level 5. And what we’ve also done is, we projected this new zone to Level 4, this is 40 meters up and we’re finding that there are values as well on Level 4. The work currently that we’re doing, we are also looking at seeing whether or not this would project up to Level 3 and also potentially to Level 2. So, hopefully, this new zone will pan out for us, but at the present time, we still need to do quite a bit of work. It will add to the resource.
Unidentified Analyst: Thanks, Jasman.
Operator: The next question is from Chris Temple from the National Investor. Please go ahead.
Chris Temple – The National Investor: Hey, guys. I was curious about what your near-term financial plans are to the extent that they exist, I mean, any big way for Bralorne? What do you expect to do say over the next year or so with that property up in BC?
Malcolm Davidson: Okay. Thanks, Chris. It’s Malcolm here.
Chris Temple – The National Investor: Yeah.
Malcolm Davidson: We’re currently wrapping up the whole group in the process to completing the transaction. We’ve done a due diligence and we formulated some plans to move the project forward. As far as financing needs, we’re planning to deal with funds that we already have and we’ll be putting up some more information in the middle or in the first week of September once the information circular is distributed to the shareholders.
Chris Temple – The National Investor: Okay. Thanks.
Malcolm Davidson: You’re welcome.
Operator: There are no more questions at this time. I'll hand the call back over to David Wolfin for any closing comments.
David Wolfin: I’d just like to thank everybody for calling in today and taking an interest in Avino. We have come a long way and got a great future in San Gonzalo and Avino, and the surrounding areas also with the new acquisition of Bralorne, hopefully, being completed in the next few months. Bralorne was a solid producer over a 40-year period. It produced over 4 million ounces of gold. So we hope to bring it back to its former glory and the future looks real bright with circuit number 3 and Avino coming online and the mine coming back into production. It’s, hopefully, going to generate some serious income for us next year and make you all happy. So thank you very much everybody and we hope you calling next time. Take care. Bye-bye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.